Operator: Ladies and gentlemen, thank you for standing by and welcome to the Jacobs Fiscal First Quarter 2021 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Jonathan Doros, Investor Relations. Thank you. Please go ahead.
Jonathan Doros: Thank you. During this presentation, we'll be referring to certain non-GAAP financial measures. Please refer to Slide 2 of the presentation for more information on these figures. In addition, during the presentation, we will discuss comparisons of current results to prior-period on a pro forma basis. See Slide 2 for more information on the calculations of these pro forma measures. Our pro forma comparisons current and prior-period excludes the results of the Woods Nuclear business which closed in March 2020 and Buffalo Group which closed in November of 2020. We provide historical pro forma results in the Appendix of the investor presentation. Turning to the agenda on Slide 3. Speaking on today's call will be Jacobs' Chair and CEO, Steve Demetriou; President and Chief Operating Officer, Bob Pragada; and President and Chief Financial Officer, Kevin Berryman. Steve will begin by updating the progress we're making against our strategy and reviewing our commitments to ESG and sustainability solutions. Bob will then review our performance by line of business and Kevin will provide some more in-depth discussion of our financial metrics, followed by an update on our Focus 2023 integration efforts, as well as a review of our balance sheet to cash flow. Finally, Steve will provide a detailed, our updated outlook along with the closing remarks, and then we'll open the call for your questions. With that, I'll now pass it over to Steve Demetriou, Chair and CEO.
Steve Demetriou: Thanks, Jon, and thanks, everyone for joining us today to discuss our first quarter fiscal year 2021 business performance and strategy update. It's been about a year since the pandemic started, and we hope everyone is safe and healthy, as COVID-19 continues to impact all facets of our daily lives. At Jacobs, in addition to keeping our people safe, we're continuing to support national governments and industry and their production and distribution of critical vaccines. Turning to Slide 4 to discuss our first quarter results, it's important to review our strategy which is foundational to an investment in Jacobs. We believe the transformation that Jacobs has undergone over the last several years has created a compelling multi-decade investment opportunity for our current and potential shareholders based on three key tenets. First, we have transformed our culture, aligned around a common purpose of creating a connected sustainable world underpinned by strong values of we do things right. We challenge the acceptance, we aim higher, and we live inclusion [ph]. This culture permeates through our more than 50,000 people, the solutions we deliver for our clients, and the engagement in our communities where we live and work. Our purpose-driven culture has also enabled us to quickly adapt to changes in market conditions, while also staying focused on our long-term vision of being a technology-enabled solutions provider. Second, we have a portfolio of solutions aligned to a diverse set of global opportunities such as space exploration, cyber readiness, climate change, and modernizing and digitizing our infrastructure. Our thematic growth areas are global, allowing us to address them efficiently, effectively, and competitively at scale through our integrated global platform of technology, our talented resources, domain expertise, and enhanced brand awareness. Finally, our Jacobs Management team has demonstrated the ability to strategically allocate capital, including successfully executing acquisitions. Our continued focus on strategy and execution has resulted in a strong start to fiscal 2021 even while continuing to manage the headwinds from the global pandemic. First quarter net revenue increased 3% year-over-year and adjusted EBITDA grew 8%. Our backlog ended the first quarter up 11% year-over-year and up 7% on a pro forma basis. Given the strong momentum, we're increasing the mid-point of our full fiscal year 2021 adjusted EBITDA and EPS outlook. Our cash flow generation was strong during the first quarter, and our balance sheet remains healthy. In the near-term, we do expect to deploy excess cash towards paying down debt. Last quarter, we announced a strategic majority investment in PA Consulting, and we are happy to share that the transaction was overwhelmingly approved on February 4 with 99.8% of PA shareholders voted in favor of the transaction. Particularly exciting was the fact that the voluntary election for management rollover was fully subscribed and new partner hiring has also been very successful post announcement, indicating the enthusiasm and commitment of PA partners and employees about the future growth opportunity of this partnership. Confirmation of the scheme of arrangement is awaiting regulatory approval by the Financial Conduct Authority in the UK, and we expect to close the investment by the end of this current quarter. PA's performance for calendar 2020 exceeded our expectations, and their pipeline of strategic and technical consulting work continues to grow. This includes a new engagement with the UK's Department of International Trade, advising on project defense and UK supply chain resilience to underpin economic and national security. Along with reaching a key milestone with the National Institute for Health Research, where they completed a UK public sector first delivery of Google Cloud Search to upgrade research platforms. Once we complete the transaction, we expect significant benefit for the clients of our firms driven by the complementary solutions offering of PA and Jacobs. Now looking further into fiscal 2021 and beyond, we believe Jacobs has a compelling organic growth opportunity and as appropriate, we will further accelerate that growth through thoughtful strategic acquisitions that offer a higher return versus our alternatives of repurchasing shares of Jacobs. Turning to Slide 5, I'd like to review some recent ESG actions. As a company we're committed to delivering results to all our stakeholders, our employees, our clients, our investors, and our communities. Delivering on this includes our commitment to our sustainability strategy called PlanBeyond and our Climate Action Plan launched last year. I'm pleased to report that we achieved a net zero carbon, including 100% renewable energy for our operations in 2020. And our carbon reduction targets have been formally approved by the science-based targets initiative. The climate agenda will continue to be front and center in 2021 with the United States rejoining the Paris Agreement and the 26th UN Climate Change Conference of the Parties or COP26 being held in November. In support, Jacobs announced our Pledge to Action, a campaign inviting our clients and suppliers around the globe to take measurable actions to tackle climate change before the opening of COP26, and we're also leveraging the power of our Jacobs people in making a positive impact. We launched our Climate Countdown Challenge where employees can join a new mission each month to tackle the climate crisis. Through both of these initiatives, we hope to raise awareness, inspire, and motivate individuals and companies and demonstrate the collective power of organizations taking actions now to make an impact for generations to come. Moving to Slide 6, at Jacobs, we intend to lead from the front in the transformation to a net zero economy. In combination with the COVID-19 pandemic, Climate change remains the major global driver for ecological, social, and economic disruption, impacting every person, community, business, and governments around the world. It's also a major disruptor advancing technology-enabled innovation and sustainable business models for addressing decarbonization, the global energy transition and resource scarcity. Jacobs is uniquely positioned to support our clients and communities in developing and deploying solutions and technologies across the full spectrum of decarbonization efforts, including renewable energy and clean power, carbon capture and storage, energy efficiency and energy storage, green buildings, sustainable transport, circular economy, carbon management mitigation and compliance consulting, as well as adaptation and resilience for all facets of infrastructure. This includes developing technology solutions, like our recently announced launch of Jacobs Travel Service Optimization solution, which transforms the home-to-school travel experience for special educational needs and disabilities children and young people. This solution combines our deep domain knowledge with the latest advances in data analytics to determine the most efficient ride sharing experience, while supporting decarbonization and our long-term transition to a net zero economy. With that, I'll turn the call over to Bob Pragada to provide more detail by line of business.
Bob Pragada: Thank you, Steve. And now, moving on to Slide 7, to review the quarterly performance for Critical Mission Solutions. During the first quarter, our CMS business continued its strong performance despite the continued high-levels of COVID-19 cases. Our workforce and clients have addressed the primary challenges of physical distancing, and continue to execute on our contracts, regardless of work location at approximately 95% of normal operating levels. Total CMS backlog is at $9.7 billion representing a 14% year-over-year growth and up 4% on a pro forma basis. The CMS strategy is focused on both revenue growth and margin expansion by aligning to our go-to-market strategy towards critical national priority of digital monetization, strategic data utilization, lower orbit satellites, hypersonics, and cyber. I'll discuss each in greater detail. Beginning with digital modernization trends, our global government clients faced the current task of transforming their digital stack of information, communications and security systems in order to maintain their national security. We were on this transformation journey with our clients as we develop and operate their next-generation digital systems. In December, we cleared the protest period on the Navy Kings Bay Intelligent Asset Management Award, and we were awarded another new digital modernization project for the Army's Intelligence and Security Command. In addition to digital modernization, a second key growth driver for our business is the DOD's increased focus on strategic data utilization. The DOD is becoming a data centric organization, combining edge computing with data intelligence and analysis at hyperspeed and scale. That is considered a strategic asset similar to the priority given to weapon systems and is increasingly central to Warfighter advantage in and out of theater. As an example, our Intelligence, Surveillance and Reconnaissance team was recently awarded a feat on the 10-year $950 million Ceiling IDIQ to provide various unmanned aircraft solutions and satellite payload services for the Air Force's Advanced Battlefield Management System. ABMS allows a Joint Force to use cutting edge methods and technologies to rapidly collect, analyze and share intelligence information and make decisions in real time. Moving on to low earth orbit satellites. These satellites play a key role in advanced communications, military reconnaissance, intelligence, and other imaging applications. Jacobs began a new era in advanced stage radar payloads with the successful launch of its Mango One satellite. Our approach enables government and commercial customers to proliferate space-based sensors to see in the dark and through clouds to provide near continuous monitoring, gathering valuable actionable intelligence in the ground, sea, air and space domain. And now on to Hypersonic. Hypersonic offensive and defensive weapons technology is unquestionably one of the highest priorities for government clients. Jacobs through its decades supporting the Air Force and NASA is a clear leader in hypersonic solution. During the quarter, CMS was awarded a hypersonic test cell contract from the Air Force at Arnold Engineering Development Complex to transform this facility into a unique large scale clean air variable Mach number test facility with extended runtime capability. A final trend is to discuss cyber. The recent SolarWinds Sunburst advanced persistent attack continues to make headlines giving the sophistication and dwelling time. In fact the Biden administration has requested a $9 billion plus increase in spending for cyber and modernization. And, as mentioned on our call last quarter, the British government also approved its largest military investment increase in 30 years by £16.5 billion or 10% per year over the next four years in defense areas, including cybersecurity. CMS in cyber and intelligence business has grown over the past several years to more than 3,300 professionals today. Part of our growth strategy is to continue to add adjacent capabilities and customers. The Buffalo Group acquisition which closed in November, posted strong initial performance and is a catalyst for achieving immediate scale and deep client access with a strong majority of the U.S. intelligence agencies and combatant commands. In summary, we continue to see strong structural demands for our solutions. Supporting this, the CMS sales pipeline remains robust with the next 18 months qualifying new business pipelines remaining above $30 billion, including over $10 billion in-source selection and an increasing margin profile. Now on to Slide 8, I'll discuss our People & Places Solutions business. Last quarter, we conveyed optimism around our balanced portfolio and our ability to remain resilient through economic and geopolitical volatility. This is demonstrated by strong P&L performance in the quarter, as well as 9% year-over-year backlog growth. After a steady pipeline in 2020, and momentum in government funding strategies, timing remains uncertain in our focused geographies, such as in the U.S. and UK. We anticipate further improvement to our pipeline as governments solidify their budget. I'll discuss four trends impacting the macroeconomic environment in our sectors, all of which we’re well-positioned to capitalize on. First, climate change and decarbonization of the economy, private sustainability and resilience for public and private entity; second, economic influence for long-term job growth and economic relief; third, the pandemic and continued growth in health, life sciences and cloud computing; and fourth, modernization of infrastructure and the digitalization of the industry. Beginning with climate change and the decarbonization of the economy, the environmental sector is experiencing growth as government, the investment community, companies and citizens confirm their commitments to climate action, act on their decarbonization agenda, and increased focus on PFAS an emerging determinant. We generated the largest growth in this sector year-over-year and anticipate our investment in PA Consulting to further strengthen our decarbonization solutions offer. These solutions such as advising our clients on their climate action goals, developing strategy and policy, assisting in program implementation, and providing intelligent asset management are embedded in all our geographies and sectors. A great example of this is our recent win in Orange County, Florida, to develop innovative, resilient and sustainable waste management systems to reduce greenhouse gas emissions from operations, for cleaner electricity use. Recent awards for the Marinus Link Electricity Interconnector linking the States of Victoria and Tasmania in Australia and Project Connect one of the world's largest lithium ion batteries are key elements supporting Australia's renewable energy transition. In the Middle East, where we are the program manager to Expo 2020 Dubai, the sustainability pavilion known as Terra premieres this month. Leveraging our industry leading sustainability expertise, Terra is designed to be a net zero carbon driving full operations, and provides a glimpse of what is to come when Expo fully opens later this year. Next, we'll discuss economic stimulus spend aimed at long-term job growth and economic relief. In the U.S., the current administration is pursuing an aggressive agenda that aligns directly with the long-term growth of our markets. We have every reason to believe that focus will continue as the administration and Congress address COVID relief, climate change, environmental justice, resilience and the need to create long-term job growth and economic recovery through infrastructure modernization. As activity on these issues progress, we anticipate funding to support our clients projects at the federal state and local level, which we're uniquely positioned to support through long-term historical Framework Agreements. In the UK, we're well-positioned for stimulus and a leveling up agenda to rebalance the economy across the country and are supporting our clients with smart integrated solutions with tangible social, environmental and economic benefits for the communities they serve. In our Asia-Pacific geography, particularly in India, Singapore and Australia, we expect an infrastructure led economic revival around transportation and green recovery, largely centered on large scale renewables and energy to catalyze the economy over the coming years. Moving to the impact of the pandemic and continued growth in Health, Life Sciences in the cloud computing supply chain. COVID vaccine production is progressing to increase capacity and distribution as well as increased demand from contract manufacturing companies with an acute focus on biotechnology and we expect our investment in PA Consulting to strengthen our end-to-end delivery in the sector. Demand for cloud computing continues to drive our data center business globally. We remain agile and are diversifying our client base to adjust to market trends and semiconductor manufacturing, building on established relationships and industry-leading leadership; we're in the negotiations with several new life sciences and electronics projects. In the built environment sector, we're gaining momentum with our clients focused on the global healthcare crisis. We were selected to lead the programming initial engineering efforts for a new campus for the California -- University of California Davis Health Center as well as the Royal Prince Alfred Hospital Redevelopment in Australia, where investment in technology and physical infrastructure support new trends in virtual care. Finally, I'll talk about monetization of infrastructure and the digitization of the industry. Infrastructure monetization remains a priority investment across all sectors and geographies. Transportation continues with a heavy focus on highways and rail. We were awarded the Engineering Services Project for the Houston METRO Inner Katy bus rapid transit system, as well as the new Rapid Transit project in Southeast Asia that will enable the workforce to adapt public transport, representing another example of how we support our clients with solutions to improve sustainability of our cities and places. Water sector trends are steady with implementation of digital technology and a focus on the water energy nexus and resiliency. Using Replica, Jacobs proprietary digital twin platform, we developed a digital twin of the watershed for Las Virgenes Municipal Water District in California for the evaluation of water supply scenarios, while balancing water quality and operational resilience. In summary, the foundation of our P&P business remains strong, with our long-term client base and frameworks in place to move rapidly when government funding is solidified. Positioned extremely well for the near-term secular trends, we expected steady growth trajectory, with profitability improving as we continue to move higher on the value chain. I would now turn the call over to Kevin to discuss our financial performance in more detail.
Kevin Berryman: Thanks, Bob. And now turning over to Slide 9. First quarter gross revenue increased 1% year-over-year with pro forma net revenue flat, revenue for CMS increased 3% on a pro forma basis, and P&PS net revenue was down 3%. The P&PS decline was mainly attributed to slower revenue burn, although the outlook for the business remains strong with backlog up 9% year-over-year. In the near-term, we expect reported net revenue growth be flat to up slightly year-over-year, then gain additional momentum in the second half of fiscal 2021. Adjusted gross margin in the quarter as a percentage of net revenue was 23.1% down 110 basis points year-over-year. The lower gross margin on a year-over-year basis was driven primarily by two factors. A tough compare from Q1 2020 that benefited from a favorable impact from lower benefit costs carried in corporate, and a higher mix of CMS revenue which carries lower gross margins, but also has a lower G&A as a percentage of revenue. CMS gross margins increased on a year-over-year basis by almost 100 basis points, as we benefited from a mix of higher margin revenues from acquisitions and new business wins. P&PS gross margins saw some modest pressure in Q1 due to a higher amount of America's program management and O&M revenue. Lower consolidated G&A as a percentage of net revenue up 170 basis points year-over-year to 13.6% more than offset the gross margin impact. As it pertains to G&A, the first quarter continue to benefit from our ability to proactively manage our cost structure. The CMS mix benefit previously stated and some focused 2023 savings from lower real estate costs, lower travel and lower COVID-related employee medical costs. As we look forward, we'll continue to be disciplined in the management of our G&A cost. GAAP operating profit was $214 million and included $22 million of restructuring transaction and other charges, the majority associated with our recently announced Focus 2023 initiative and $23 million of amortization from acquired intangibles. Adjusting for these items, adjusted operating profit was $259 million, up 10% with both lines of business posting double-digit percent increases in operating profit. As a result, our adjusted operating profit to net revenue was 9.5%, up 60 basis points year-over-year on a reported basis. GAAP net earnings and EPS from continuing operations were $257 million and $1.96 per share and included a benefit of $0.54 driven by mark-to-market adjustments for our Worley equity stake, a $0.47 benefit related to a mark-to-market investment in AI software provider C3.ai, $0.16 per share of after-tax charges primarily related to Focus 2023 and other restructuring costs, a $0.17 charge related to the impairment of our AWA management investment, and amortization of acquired intangibles of $0.13. Excluding these items, second quarter adjusted EPS was $1.41, up 17%. Let me provide some detail on our investment in AI software provider, C3.ai. In 2010, we made a small investment in the company, which recently completed an IPO. Today, our investment represents more than 750,000 shares in the company. Due to our lockup requirements surrounding our ownership, we applied a discount to the quarter-end value of our interest in the company. Resulting in the investment valued at $85 million on our quarter-end balance sheet, at today's price, our interest represents a greater than 20 times return on our original investment. Q1 adjusted EBITDA was $280 million, and was up 8% year-over-year, reaching 10.3% of net revenue. Finally, turning to our bookings during the quarter, our pro forma book-to-bill ratio was 1.2 times for Q1 driven by strong book-to-bill in P&PS. From a pipeline standpoint, we continue to grow the CMS pipeline, both on a pro forma and reported basis. The timing of when this robust CMS pipeline will convert into backlog is weighted more towards the second half of fiscal 2021, resulting in our projected backlog exhibiting year-over-year growth for the year. The P&PS overall sales pipeline has increased as well driven by a pro-environmental Biden administration, broader potential infrastructure stimulus in the U.S. and an improving economic outlook. The exact timing of when many of these new stimulus related opportunities will convert to bookings will become clear over the coming months and will help support backlog growth for the year. Regarding our LOB performance, let's turn to Slide 10. Starting with CMS, revenue was up 9.5% year-over-year and up 3% on a pro forma basis. CMS operating profit was $110 million, up 22% and up 15% year-over-year on a pro forma basis. Operating profit margin was up 90 basis points year-over-year to 8.5%. Improvement was driven by our strategy to focus on higher margin opportunities, such as our recent NORAD win, which is now fully ramped. We also saw some additional benefits from favorable project close-outs. As we progress through fiscal 2021, we expect low-single-digit CMS reported revenue growth as we approach the one-year anniversary of the Wood Nuclear acquisition and continue to ramp new wins. More than offsetting the revenue headwind from fully transitioning of two large lower margin projects previously discussed, which account for a nearly $600 million headwind in annual revenue in 2021. Given the strategy to capture higher value businesses, vehicles acquisitions and organic efforts we will continue to expect reported and pro forma operating profit growth to be up double-digit year-over-year. Moving to P&PS, Q1 net revenue was down 3% year-over-year driven by a lower short-term burn rate as bookings growth remained strong and backlog was up 9% year-over-year with a 1.3 times book-to-bill. We continue to see solid revenue growth in our Americas business offset by some timing-related slowdown in our advanced facilities and Europe and Middle East businesses. P&PS operating profit was up 10% year-over-year, and as a percentage of net revenue was 13.7% for the quarter, up 160 basis points year-over-year driven by disciplined management of G&A costs. Looking forward, we continue to project P&PS revenue be up low-single-digits for fiscal 2021 with improving year-over-year growth as we progress through the year. We expect operating profit margin as a percentage of net revenue to moderate from Q1 levels, but still increase from fiscal 2020, driven by strong operating profit growth. Our non-allocated corporate costs were $47 million for the quarter. While this figure was supported by strong cost discipline, we continue to expect our non-allocated corporate costs to be higher year-over-year driven primarily by inflation in medical costs, enhanced employee benefits, and increases in discretionary medical procedures that were put on hold during fiscal 2020 and the first quarter of 2021 due to COVID-19 concerns. Now turning to Slide 11, I'd like updating you on our Focus 2023 and M&A integrations. We continue to make strong progress on our strategic initiative Focus 2023 that we believe will, one, lead to enhanced employee and customer experience; two, improve our ability to capture emerging high growth margin opportunities; and three, drive a more efficient cost structure through increased automation and process aligned for overall longer-term profitability. During the quarter, we incurred an additional $10 million charge in cash outflows of approximately $30 million related to our Focus 2023 initiatives. These investments were mainly related to improving the utilization of our physical spaces, deploying new tools and technologies for better efficiency in our business, and strategically leaning out the organization. Turning to our recent acquisition of The Buffalo Group, the company had a strong quarter with double-digit revenue growth; continue to expect that the acquisition will deliver $0.08 to $0.10, adjusted EPS accretion during fiscal 2021. Regarding PA Consulting, we're pleased with the preliminary results for calendar year 2020, which are tracking ahead of our expectations. We're also optimistic about their calendar year 2021 growth plan, and after this transaction closes later this quarter, we look forward to discussing our results and growth plan in more detail. We continue to expect $0.52 to $0.57 of adjusted EPS accretion from PA Consulting for fiscal 2022. And finally, when including all integration and restructuring initiatives, as well as the AWE charge but excluding PA Consulting, we now expect the total of approximately $100 million of P&L charges and $110 million in related cash outflows in fiscal 2021. When including an additional non-recurring headwind associated with a payment of 2020 related UK VAT tax payment in the current quarter, we expect a total of approximately $150 million of one-time cash outflows in fiscal year 2021. We'll update these estimates to include PA Consulting after we close the transaction. Now on to cash generation and the balance sheet on Slide 12. During the first quarter, we generated $96 million in reported free cash flow, a significant improvement versus the level seen in the last several Q1 periods, primarily a result of an improvement of three days in DSO versus a year-ago, other working capital benefits and less headwinds from cash restructuring. The strong Q1 cash flow included a net negative of $44 million of one-time costs associated with Focus 2020 restructuring and other items. Regarding the balance sheet, we ended the quarter with cash of approximately $837 million and a gross debt of $1.8 billion, resulting in $1 billion of net debt before attributing the benefit of the Worley and C3ai equity. Treating the Worley and C3ai equity as cash our pro forma net debt to expected adjusted 2021 EBITDA is approximately 0.4 times, a clear indication of the strength of our balance sheet. During our current fiscal second quarter, we finalized a new delayed draw term loan related to our PA Consulting investment. Post PA close, we expect our balance sheet to have continued financial flexibility. However, we'll be prudent to deploy excess cash toward debt repayment over the short-term. And finally, given our strong balance sheet and free cash flow, we remain committed to our quarterly dividend which was increased to 11% earlier this year to $0.21 per share. Now I'll turn it back over to Steve for Slide number 13.
Steve Demetriou: Thanks, Kevin. Now, let me review our total company outlook for fiscal 2021. Given our strong start to the fiscal year, we're raising the low-end of our previous guidance ranges. We now expect adjusted EBITDA outlook to be in a range of $1.075 billion to $1.155 billion versus our previous outlooks of $1.055 billion to $1.155 billion. And we expect adjusted EPS to now be in a range of $5.30 to $6 versus our previous outlook of $5.20 to $6. It is important to note that our guidance does not include any benefit from the PA Consulting investment, which we expect to close by the end of fiscal second quarter. Looking beyond fiscal 2021, we continue to expect double-digit adjusted EBITDA growth, as we benefit from our Focus 2023 initiatives, as well as potential infrastructure related stimulus and a strong alignment to a diverse set of large secular growth opportunities. Operator, we'll now open the call for questions.
Operator: [Operator Instructions]. Our first question comes from Joseph DeNardi with Stifel. Your line is now open.
Joseph DeNardi: Hi, thanks. Good morning. Bob, you talked a little bit about the Mango launch. Can you just speak to kind of what that now allows you to do in order to maybe more effectively market and sell that capability? And then can you just update us on the pipeline of opportunities related to that technology across the government to the extent you can?
Bob Pragada: Sure, Joe. So on the first, we're really excited about what Mango One brings to us. So it's a heavy payload, low earth orbit satellite, that's ours. And we invested in this, and it's now in space gathering data, it is kind of a right of entry to some of the higher-end, both intelligence agencies as well as other application platforms. And it's going to put us in a really unique position for some of the -- not only ongoing pursuits but even for offerings that come in the future. So I'd say that, the programs and projects that we've talked about Project M and all kinds of other tropical fruits that we refer to these programs by, it puts us in a very much differentiated position to further strengthen our win ratio. There's only a few that happen.
Operator: Our next question comes from Jamie Cook with Credit Suisse. Your line is now open.
Jamie Cook: Hi, good morning. Nice quarter. I guess my first question relates to the strong margin performance that you saw in P&PS. So I'm just wondering, how much of that is sort of project mix versus potential short-term, lower discretionary costs, how sustainable that is? And then I guess my longer-term question is while the margins in CMS are improving, there's still a big gap between CMS and P&PS, I'm just wondering over what time can the gap between the two segment margins, narrow more? Thank you.
Kevin Berryman: So Steve, you want me to take that?
Steve Demetriou: Yes, go ahead, Kevin.
Kevin Berryman: Yes, look Jamie, thanks for the question. First thing is on the P&PS margin profile, we actually saw a good solid gross margin performance, but really the fundamental margin profile driven primarily by the very disciplined management of our G&A costs. Of course some of that has been driven already by some of the work that we did, when we announced some of the activities relative to our reduction in footprint on real estate, some of the travel reductions that we've been doing. But there's also been fairly significant actions -- proactive actions taken in terms of managing our labor costs appropriately relative to the current situation regarding the pandemic. We're closely monitoring that. And as we think about how our business starts to come back, which is fully anticipated over the course of this year, some of those costs will come back into play as it relates to the business, but that's going to be associated with higher gross profit as well. So ultimately, margin profile will continue to be robust, maybe not at the same level as Q1 but certainly well above what we would have expected to see in 2020, what we did see in 2020, so feeling very good about that opportunity. In terms of the margin profile between the two businesses, we've said that we believe actual margin profile can improve on both sides with both of the businesses. And consequently, a big focus in 2021 is starting to reduce in a more tangible way the margin profile difference between the two businesses, and we've been communicating that CMS margins should be a strong improvement this year. And I think we started to see that in the first quarter, and we would expect that to continue to play out over the balance of 2021.
Operator: Our next question comes from Josh Sullivan with The Benchmark Company. Your line is now open.
Josh Sullivan: Just a question on the free cash generation and congratulations on moving the needle there. Just to the comments before about kind of a mix shift moving around. I mean, is there anything we should be thinking about any turmoil in the DSOs? I mean, is there anything that we should be thinking about as far as the free cash flow profile while you do that mix shift up to kind of more high-value work?
Kevin Berryman: In general, I would say that the opportunity for us to continue to drive DSO improvements from existing levels, we believe that this remains an opportunity, it's tough work as I've always said relative to the ability to continue to drive that number down. Very pleased with the work in Q4 of last year, very pleased with where we ended Q1 of fiscal 2021. And we believe that there's an opportunity to continue to drive that down and that our mix of projects won't necessarily, ultimately result in that underlying trend longer term. So, we still feel good about that, still got a lot of work to do, but we feel good about the cash flow generative nature of the portfolio going forward.
Operator: Our next question comes from Jerry Revich with Goldman Sachs. Your line is now open.
Jerry Revich: Steve, I'm wondering if you could talk about your M&A pipeline as it stands today considering the cost reduction efforts and the upcoming integration with PA Consulting. How active are you folks in terms of scouting for opportunities at this point and based on the lean work that you're doing, does that expand the opportunity set in terms of the cost reduction opportunities you might have as you look at the next set of companies in the pipeline whether it's 2021, 2022 event? Can you just flush that out for us, please. Thanks.
Steve Demetriou: Great. So we are a company that is always active and making sure we're exploring all opportunities globally, and we're going to continue to do that. We have recently executed on some acquisitions with The Buffalo Group and PA Consulting most recently, and Wood Nuclear is fairly new. So, for us our top priority is to execute on those recent acquisitions and demonstrate continued success. We feel proud of what we achieved with a major one of CH2M back in 2017 and have successfully executed and exceeded expectations, and so we want to focus on that right now. As I mentioned in my remarks, over the next months, our primary capital deployment is going to be to pay down debt. However, when we look at the pipeline of opportunities in our strategy, there are several bolt-on opportunities even within PA Consulting. When we think about what we have initiated there coming together with PA, they've been a very successful firm in doing bolt-on acquisitions. It’s helped them create value, and we want to continue to support that, and together we think that there's going to be some real interesting things that we can do in that whole consulting arena, which is higher margin and higher value business. And then of course, anything that we can do to just accelerate our digital modernization, strategic data utilization as we have done with the series of cyber acquisitions, including most recently KeyW and The Buffalo Group, and so we'll continue to be active on the government services space, and any other bolt-on acquisitions that can strengthen our P&PS business as well. And, the final thing I'll say is there's some geographic expansion opportunities when you looked at our mix of business, yes, it really is still majority -- the majority of our revenue comes from the U.S. and UK and then it drops down significantly from there. And so, we think there's some great geographic expansion initiatives over the coming years.
Operator: Our next question comes from Andy Kaplowitz with Citigroup. Your line is now open.
Andy Kaplowitz: And just trying to get a read on P&PS, given the lower revenue burn, but strong backlog. Bob, you talked about still seeing some funding in COVID-related uncertainty out there, but the trends you mentioned especially more focus on climate change, digitization, stimulus, seem to be overwhelming that uncertainty at least in backlog. So maybe you can give us more color, what was the biggest driver of backlog growth in Q1, and especially if we do see some U.S. stimulus here, is it possible to backlog growth continues at that high-single-digit rate you saw even accelerate from here?
Bob Pragada: Yes. So maybe -- Andy, I'll address that first and then go back to the year-on-year performance. We do, so the short answer is, yes. The pipeline that we capitalize on in Q1, the dialogue in anticipation of stimulus continues with our clients. And so where we fit in the value chain, where we would be in the initial concept work scoping, looking at what potential optionality are around and objectives will be different structure project, I see those continuing. As well as the opportunities we're seeing were driven by the pandemic, but in the healthcare and in the data center and semiconductor manufacturing world. So I think those remain strong. As far as what we see coming out of the funding, I really -- I'm sorry, the year-on-year piece, I'd really kind of point to the sustainability of our work due to the framework and the position we have with our clients. So, yes, there has been a bit of a revenue decline, but it wasn't a drop off the cliff. And we were able to -- there was a bit of a drop in Q3 of last year and we've been able to sustain it. Remember, comparison to last year, quarter-on-quarter -- I'm sorry, year-on-year, we weren't in the pandemic. And so, I think that flatness is what we're seeing as far as the revenue piece and looking to see -- looking at product turnaround as the backlog converts.
Operator: Our next question comes from Steven Fisher with UBS. Your line is now open.
Steven Fisher: Great, thanks. Good morning, guys. Can you just talk a little bit about the increase in restructuring from I think it was $80 million to $100 million plan for the year, why did it increase kind of what's the cadence from here? I think it will certainly be a milestone when restructuring generally becomes immaterial, but I'm just wondering if they do that as long as there is going to be some M&A activity should there be some ongoing restructuring?
Kevin Berryman: Yes, thanks. Appreciate the question; look on the number going from the 80 till 100. That's effectively driven by the AWE item that is a non-cash charge, we highlighted that that there was a current evaluation that was occurring during our Q4 call, you might recall. And so we basically had to write-down our AWE investment that was made several years ago, so no real difference in terms of restructuring. Of course, we have not yet included any of the dynamics associated with PA; there will be some costs obviously there. And that will be further clarified after we actually have PA come on into the full of hopefully expected by the end of this quarter. So no real fundamental change at this particular point in time other than the AWE charge, non-cash charge.
Operator: Our next question comes from Chad Dillard with Bernstein. Your line is now open.
Chad Dillard: So within your greater than $30 billion project pipeline, I think there are a couple of large projects you guys talked about in the past on the weapon sustainment and ISR side. Can you give us your latest thoughts on these [ph] what timing there has been any change in competitive landscape, the positioning? And then also, can you talk about a certain level of design activity that you're seeing globally if they acquire your private P&PS business. What are you seeing accelerating growth versus maybe some stall in the recovery? Thanks.
Steve Demetriou: Chad, maybe I'll start.
Bob Pragada: Here in Bob. Chad, I may start on the latter.
Steve Demetriou: When we talk about the P&Ps business, clearly what's driving our pipeline are the things that Bob talked about initially, and that is the whole digital modernization and strategic data utilization across all of our clients and buildings, infrastructure, advanced facilities. The whole climate change arena is clearly going to be ramping up with the change in administration in the U.S., but just a global priorities that's going on there. And look when we talk about climate change, the things we're already doing in SolarWinds and now hydrogen is kicking in and the energy storage with batteries and the whole resiliency strength that we have which we've been doing for the last several years around, flooding and sea-level rise and a whole host of other things pretty fast, et cetera. And then the whole opportunity around the advanced facilities business with regard to what the pandemic is accelerated and in the life sciences business and the electronics business because on the life sciences side, there is now a pent-up demand on non-COVID activities, obviously the priority is probably vaccines and therapeutics, but oncology, diabetes, emerging cell in gene therapy and also the fact that there is more need for capacity, so there is a huge contract whole manufacturing opportunity that's now presenting itself. And then the whole healthcare side with hospitals and what's going on globally there. And then the electronics with the future of work with everything from 5G to data centers to the semiconductor, there is clearly a wave of growth in that business as well. So -- and then on top of all that is what countries are doing around the world starting with the U.S. around stimulating their economies, coming out of the pandemic. Clearly we're seeing positive momentum in the U.S. Though we expect to see something soon with this first COVID relief package, but we're anxious to see what comes out over the coming months in the whole infrastructure stimulus, which will benefit Jacobs, it's upside. This is 2022 and beyond when we talk about infrastructure stimulus out here is not dependent on it. And then from a standpoint of UK, very positive momentum in many of the other countries are also kicking in with their infrastructure initiatives, economic initiatives. So real positive momentum on the P&PS. So, Bob do you want to comment on the backlog on CMS?
Bob Pragada: Yes. We are -- within the next 12 months. I think I mentioned that $10 billion is in source selection. Specifically around, I think the question was around ISR, and our tack on cyber to that. Now with The Buffalo Group and with the kind of our positioning in that space now both in cyber as well as intelligence would it be the intelligent commands or defense or in even the joint commands, the co-concept on. We are now in the majority of them with increased skill sets across multi-domain. So we see those awards coming in. They might not be as large and longer in duration, these jobs traditionally are now in the current form aren't. But we see those continue to flow in from Q3 and beyond with higher margin.
Operator: Our next question comes from Louie DiPalma with William Blair. Your line is open.
Louie DiPalma: There has been a surge in investor interest for space exploration and space reconnaissance, are you able to quantify the size of Jacobs' space portfolio as it relate to NASA, the intelligence community and the Missile Defense Agency and on this note, can you review what role Jacobs is expected to play for the Artemis Moon Program? Thanks.
Steve Demetriou: Space is -- has been a legacy, strengthen and an important part of our revenue going back to the -- the long history we have with NASA, where we're NASA's leading solutions provider across essentially all of their sites and so that's our foundation. And then with the KeyW acquisition and some of the other initiatives that we've done both organically and bolted-on is that first of all, low-earth space intelligence that Bob just talked about that we're very excited about most of that is a very highly classified work. So that's now going to -- we believe is going to be a very high growth add-on to our whole space initiatives. So -- and then would be adjacency work that comes with our intelligence work and relationship with the space community is the whole hypersonics area that it's going to be something that is big for us starting in the sort of the consulting research development and then getting into some of the big programs there. So well over a $1 billion today and one that we expect high growth walk going forward.
Operator: Our next question comes from Sean Eastman with KeyBanc Capital Markets. Your line is now open.
Sean Eastman: I think nice start to the year. I'm just curious, a lot of companies are talking about digital data. I'm just curious as we think about Focus 2023, what do you think Jacobs is doing better than the competition as we think about digital, and data effectively moving the company up the value chain?
Bob Pragada: Well, let me start with kind of how we've gotten to where we are because Jacobs has always been a company that has been working on digital smart initiatives going back to the work that we've done with NASA and others. But when you look at the last several years, the CH2M acquisition and was the combination has really accelerated our capability, the things that CH2M brought like digital twins that we talked about and several other capabilities. And then we go into the whole strategy that we unleashed over the last several years, around the Jacobs Connected Enterprise and now taking us to a higher level in the culture that we put in. The talent attraction that we've had a very focused talent attraction on making sure that we bring in all the subject matter expertise and the digital capabilities just -- it's been impressive and really tapping into the -- some of the most innovative companies to bring some of their talent to Jacobs. And then the last two big steps have been the rebranding to really make our clients more aware, a lot of the stuff we were doing for certain clients in one part of Jacobs, mostly rest of our clients didn't really know that we have actually capability and -- and that brand initiative that we launched last year was a key step. And then PA Consulting is now going to take it to a whole new level around the end-to-end solutions that we can provide. When you look at the IP that we have, it's pretty impressive across the board, and then the technology hubs that we focus on geospatial productive analytics, cyber, Internet-of-Things, intelligent asset management. And when you put it all together, the real differentiation for Jacobs is that we have both the domain knowledge, decades of experience working on all of these things, and markets and clients and we have typically -- state-of-the-art technology skillset in bringing digital solutions. So when you put that together, we feel like we're in that unique differentiated position.
Operator: Our next question comes from Michael Dudas with Vertical Research. Your line is now open.
Michael Dudas: Good morning, gentlemen. This one for Kevin. Wondering do you have anymore 20 baggers in that asset portfolio of yours. Appreciate to know that, but more seriously, could you remind us when PA closes, what the balance sheet metrics on net debt, cash, leverage ratios? And how you're thinking about the current ownership of Worley and C3.ai relative to your deleveraging opportunities or your cash needs going forward?
Kevin Berryman: Thanks, Mike for the question. I think with a lot of the work that Steve just alluded to in our strategy over the last several years has positioned us very, very well from the balance sheet perspective to be able to execute against the PA transaction. Our actual net debt is probably in the neighborhood once we close, is probably in the area of two times. So, still quite nice in terms of our position. We still have substance of levels of cash at that particular point in time. So we have some flexibility as it relates to that. Our gross debt levels will be a little bit higher. So our idea is that we will kind of in the very short-term, we do some of that gross debt level with incremental cash generation that we're going to be seeing about. We feel like we still have a really good flexibility as it relates to how we will look to deploy capital not in -- and then necessarily in immediate term, but certainly as we progress through the next few months and into later 2021, we'll be able to have some greater levels of flexibility there. So really quite well-positioned relative to our debt structure even after the amount of fund that are going to be paid out it's appropriately -- it's approximately about $1.8 billion. So we'll be doing well, even with that in terms of our leverage factors. Relative to the other equity matters, we said that these are good strategic investments and that we'll continue to think about what that means longer term.
Operator: Our next question comes from Michael Feniger with Bank of America. Your line is now open.
Michael Feniger: Yes. Thanks for squeezing me in. I'm just curious on your mix in the growth prospects going forward. Basically, over the next two to three years, do you feel like more of your growth is coming from P&PS, with the infrastructure, environmental, or advanced facilities or is it mostly coming from CMS? And lastly, just to be clear, do you need a big infrastructure package to pass to reach your double-digit growth objectives in 2020? Is that critical to hit that 2020 and beyond target you guys laid out? Thank you.
Kevin Berryman: So you want me to go, guys, first?
Bob Pragada: Yes, go ahead, Kev.
Kevin Berryman: Yes. Look, the guidance that we've provided, it doesn't assume anything as it relates to a major infrastructure there. There certainly seems to be some incremental momentum there and our view, however, is that we will start to see an ability to start to see incremental momentum in the back half of 2021, and certainly, the sustainability comment that Bob had made is important because of the particular stimulus package that's being considered right now provides that opportunity to do so. I think if you combine it all together with Focus 2023, and our continued efforts to drive the effectiveness across the globe and with the continuation of an improving economic picture, we still think there is an ability to have great growth in 2022 and beyond. And that would be double-digit obviously. If there is a large infrastructure built, that would be augmenting some of those numbers. I think as it relates to both CMS and PPS, with P&PS, we feel good about the growth prospects of both of the business long term. Both are aligned with really strong growth trends, critical mission areas as outlined by Bob, and then of course People & Places aligned the secular long-term growth trend. So we feel pretty good about the growth algorithm that's facing us in terms of both of the businesses.
Operator: [Operator Instructions]. Our next question comes from Gautam Khanna with Cowen. Your line is now open.
Dan Charney: Hey guys, this is Dan on for Gautam Khanna. Thanks for taking the question. Just a quick one here. Do you have the CMS book-to-bill number excluding the acquired backlog from Buffalo?
Bob Pragada: Yes, it's about a little over 1.05, 1.06 to include Wood.
Dan Charney: Okay.
Operator: There are no further --
Bob Pragada: It's one time. It is one time, even without Wood.
Steve Demetriou: Yes, and it's over 1, even without Wood. I'm sorry.
Operator: There are no further questions in queue at this time. I'll turn the call over to Steve Demetriou for any closing comments.
Steve Demetriou: All right, thank you. In conclusion, our Jacob's people drive our performance. And this year more than ever, their commitment, creativity, and perseverance was our differentiator. We've chosen to honor their spirit in our integrated Annual Report for 2020, which we launched two weeks ago. I encourage you to visit the Investor page of our website to read the report and explore some of the stories of accomplishment for our clients and our communities in furthering our strong culture. Thank you.
Operator: This concludes today's conference call. You may now disconnect.